Operator: Good day and thank you for standing by. Welcome to the Q3 2023 Cabot Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Mr. Steve Delahunt, Vice President of Investor Relations and Treasurer. Sir, please go ahead.
Steve Delahunt: Thank you, Chris. Good morning. I would like to welcome you to the Cabot Corporation earnings teleconference. With me today are Sean Keohane, CEO and President and Erica McLaughlin, Executive Vice President and CFO. Last night we released results for our third quarter of fiscal year 2023, copies of which are posted in the Investor Relations section of our website. The slide deck that accompanies this call is also available in the Investor Relations portion of our website and will be available in conjunction with the replay of the call. During this conference call, we will make forward-looking statements about our expected future operational and financial performance. Each forward-looking statement is subject to risks and uncertainties that could cause actual results to differ materially from those projected in such statements. Additional information regarding these factors appears in the press release we issued last night and in our 10-K for the fiscal year ended September 30, 2022 and in subsequent filings we make with the SEC, all of which are available on the company's website. In order to provide greater transparency regarding our expected performance, we refer to certain non-GAAP financial measures that involve adjustments to GAAP results. The non-GAAP financial measures referenced on this call are reconciled to the most directly comparable GAAP financial measure in a table at the end of our earnings release issued last night and available in the Investors section of our website. I will now turn the call over to Sean who will discuss the third quarter highlights and the market environment in our Reinforcement Materials and Performance Chemicals segments. Eric will review the company and business segment results along with some corporate financial details. Following this, Sean will provide a strategic summary and closing comments and open the floor to questions. Sean?
Sean Keohane: Thank you, Steve and good morning, ladies and gentlemen, and welcome to our call today. In our third fiscal quarter, we continue to navigate a challenging macroeconomic environment. Despite lower volumes in both segments and a tax headwind we delivered sequential earnings improvement due to the continued strength of the Reinforcement Materials segment. Consistent with the commentary in our June announcement, we continue to see weakness in China and soft demand on a global basis across many of our key Performance Chemicals end markets, particularly in the housing and construction sector and across consumer durable applications. In the quarter, we delivered adjusted earnings per share of $1.42, up 7% sequentially. Reinforcement Materials delivered a record quarter with EBIT of $132 million, up 17% year-over-year and 8% sequentially despite the third consecutive quarter of year-over-year volume declines. This level of performance reflects the resilient nature of this business and the structural improvements we have made over the last several years. EBIT in the Performance Chemicals segment improves sequentially largely due to cost initiatives across the segment. Demand in the segment remained challenged as we saw continued weakness in our key end markets with the exception of battery materials. In the quarter, we generated strong operating cash flow of $243 million and free cash flow of $163 million of which we returned $38 million to shareholders through dividends and share repurchases. Our balance sheet remained strong with net debt to EBITDA of 1.7 times and we have $1.3 billion of committed liquidity that has been recently been extended to 2027. Our balance sheet and investment grade credit rating gives us the flexibility to continue to advance our long-term strategic priorities supported by our disciplined and balanced capital allocation strategy. Moving to the market environment across both segments, we've been dealing with weak end market demand, so I wanted to spend a few minutes to take you through what we are currently seeing. Let's start with Reinforcement Materials where the key end markets are replacement tires in auto OE production. You will recall that replacement tires account for approximately two thirds of segment volume with OE production and industrial applications driving the balance. For the first three quarters of our fiscal year, we've experienced year over year volume declines with year to date volumes down 8% in this segment. The decline is principally driven by a deep inventory destocking cycle and there is some anecdotal evidence that customers are delaying purchases. When we look at the industry demand fundamentals, we see pretty stable conditions for the passenger car replacement market. Miles driven and the global car park are generally good indicators for light vehicle replacement. Tire demand in the U.S. for example, passenger miles driven is holding steady while the global park car park continues to expand for the truck and bus segment. Truck tonnage is a good indicator of underlying health and we can see in the U.S. that this too is holding steady. The performance of these fundamental demand drivers gives us confidence that volumes will normalize when we exit the current destocking cycle. Auto production is the other key end market for this business and accounts for approximately 27% of Reinforcement Materials volumes. Global auto production is one area we are seeing signs of recovery across North America, Europe, and China. This end market has experienced growth in recent quarters and is projected to grow in 2023 providing some offset to the lower replacement tire volumes. The impact of a pickup in auto production in this segment is seen fairly quickly given the relatively shallow value chain as compared to the replacement market. In Performance Chemicals, the external environment remains challenging. Most of our industrial sector end markets are experiencing weak demand, particularly housing and construction. And on the consumer application side, we have seen that demand for durable goods and electronics has also been weak. Manufacturing PMI has historically been a key indicator of demand in this segment. Currently manufacturing PMI levels in the U.S. and Europe remain below 50 and China has been oscillating around 50 with several recent data points in contraction territory. Recent housing data, both housing starts and building permits indicates a potential turning point in the U.S., but European permits continue to drop and the China real estate market remains stagnant. Construction and housing demand has a significant impact on our specialty carbons, specialty compounds and fumed metal oxides product lines. As I mentioned earlier, auto production is one area where we are seeing some promising signs in terms of new car builds. Approximately 25% of Performance Chemicals volume is tied to the transportation OE sector. However, we have not yet seen the impact in our sales due to lingering destocking and the depth of this value chain. Historically, this has taken about two to three quarters to see the impact of a turn in auto production translate into higher demand for our products. As this happens, we would expect a lift in terms of both volumes and product mix as the automotive sector pulls through a high percentage of specialty grades. And finally, the China EV market continues to recover from a sharp sequential slowdown in electric vehicle sales in the March quarter. The June quarter saw sequential growth though EV sales volumes still aren't back to the level it achieved in the December quarter. Our battery materials volumes recovered in line with this trend with Q3 volumes increasing 29% on a sequential basis and 50% year-over-year. While the volume trend is encouraging, the auto EV market in China is experiencing an increase in competitive intensity as auto OEMs compete aggressively on price from market share, and this pressure is flowing back upstream to the battery producers and material suppliers. As we transitioned into Q4 and look forward through the balance of the fiscal year, we have experienced pricing pressure that is impacting our margins. The impact is concentrated in our China business and particularly where our products are sold into batteries for lower priced domestic vehicles. Where our products are sold into batteries for export to global OEMs or to customers outside of China, we are seeing stable prices. Given this dynamic in China and the continued delay in scale up of one of our Western auto OEMs, we now expect the fiscal year EBITDA to be in the low $20 million range. As we manage through this unexpected period of turbulence in China, our focus is on three priorities. First, market segmentation to focus our efforts on higher performing batteries, particularly NCM chemistry and on those batteries targeted for western exports. Second, we'll continue to carefully manage the balance between volume and pricing and third, we're aggressively attacking the cost structure across our base products. Over the long-term, we believe that electrification will transform the mobility sector with most growth forecast for lithium-ion batteries in the 25% to 30% CAGR range through the end of the decade. We also expect that the EV and battery market will bifurcate into a China market and a rest of world market. We expect the market outside of China will orient more towards higher performing NCM chemistry, which requires higher performing conductive additives. We also expect that customers outside of China, particularly the global auto OEMs, will continue with strict qualification requirements and management of change protocols required by the IATF Quality Management System. Additionally, we also expect that the trend towards supply regionalization will accelerate, and this development provides an advantage to a technology leader like Cabot that has a strong global footprint and an ability to scale up capacity and region to meet customer requirements. Over the next decade, the industry will undergo fundamental change as EVs grow in the west, battery supply chains regionalize, and new technologies such as dry process take hold. Over this time, we expect that North America and Europe will grow to comprise approximately 50% of the global battery market. We remain excited by the long-term growth prospects for battery materials and believe it can become a meaningful part of our profitability over time. At Cabot, we have the broadest conductive additive portfolio, a leading global footprint, and the capability to expand in North America and Europe to support our customers' requirements. We believe this value proposition is compelling to customers and we continue to see momentum with the leading battery producers. I'll now turn the call over to Erica to discuss the segment and financial performance. Erica?
Erica McLaughlin: Thanks Sean. I'll start with discussing results for the company and then review the segment results. Adjusted EPS for the third quarter of fiscal 2023 was a $1.42 compared to $1.73 in the third quarter of fiscal 2022 with growth in Reinforcement Materials offset by declines in the Performance Chemicals segment. Discretionary free cash flow in the quarter was $128 million and we ended the quarter with $220 million of cash. Cash flow from operations was $243 million, which included a reduction in net working capital in the quarter of $71 million. CapEx in the quarter was $80 million and we expect full year CapEx to be approximately $250 million. The balance sheet remained strong with total liquidity at $1.3 billion and net debt to EBITDA of 1.7 times as of June 30. In the third quarter, we increased our year-to-date operating tax rate from 25% to 28%, driven by an update to the fiscal year forecast and the geographic mix of earnings within the updated forecast. The increase in the operating tax rate included a catch-up of expense for the first half of the fiscal year that we booked in the third quarter, which resulted in an unfavorable impact of $0.10 of adjusted earnings per share this quarter for the catch-up and a total of $0.17 in the year-to-date impact. We expect the fiscal year operating tax rate range to now be between 27% and 29%. Now moving to Reinforcement Materials, during the third quarter, EBIT for Reinforcement Materials increased by $19 million as compared to the same period in the prior year to a record EBIT of $132 million. The increase was driven by improved unit margins from higher pricing and product mix and our 2023 calendar year customer agreements net of higher fixed costs partially offset by 8% lower volumes. Globally, volumes were down in all regions in the third quarter as compared to the same period of the prior year with declines of 10% in the Americas, 12% in Europe, and 5% in Asia. Looking to the fourth quarter of fiscal 2023, we expect Reinforcement Materials EBIT to decrease sequentially due to seasonally lower volumes in Europe and higher fixed costs driven by the timing of spend. Volumes in the fourth quarter in regions outside of Europe are expected to be relatively consistent with the third fiscal quarter. Now, turning to Performance Chemicals, EBIT decreased by $31 million in the third fiscal quarter as compared to the same period in fiscal 2022. The decrease was driven by 9% lower volumes and lower unit margins. Volumes were lower across all product lines except battery materials, and most notably, there was a 23% year-over-year decline in fumed metal oxides volumes. Lower volumes in fumed metal oxides were driven by weaker demand in silicones applications and the impact from partner driven downtime. Lower margins were driven by a less favorable product mix in battery materials and specialty carbons. Looking ahead to the fourth quarter of fiscal 2023, we expect EBIT in Performance Chemicals to be up sequentially due to higher volumes in our battery materials and inkjet growth vectors, while volumes in our larger product lines are expected to remain consistent with the levels experienced in the third fiscal quarter. We expect pricing pressure in the EV value chain in China, as Sean discussed in the near-term to impact battery materials results. Now moving to our cash performance, our outlook for the rest of the year is for continued strong cash generation that will continue to enable our growth investments as well as returning cash to our shareholders through dividends and share repurchases. Year-to-date, we have generated $457 million in operating cash flow. We have spent $166 million year-to-date for capital expenditures, which included spending on growth investments as well as maintenance and compliance projects. As we have talked about before, returning cash to shareholders is a critical component of our capital allocation strategy and has been supported by our operating cash flow. We raised our dividend by 8% in May and year-to-date we have paid $65 million in dividends. In addition, we repurchase $48 million of shares year-to-date for a total of $113 million of cash returned to shareholders so far this year. Our outlook for cash remains positive for the year. We expect strong operating cash flow to continue given current assumptions on oil prices. Debt levels are sound and are expected to stay around the current level of net debt to EBITDA at 1.7 times, and our full year forecast for capital expenditures is approximately $250 million. We also expect to continue to return cash to our shareholders. In addition to our quarterly dividend we anticipate increasing the amount of share repurchases in the fourth quarter given the strong cash flow forecast. I will now turn the call back over to Sean.
Sean Keohane: Thanks, Erica. Moving to the fourth quarter outlook, I am pleased with how the Cabot team continues to respond despite the challenging macroeconomic environment. The Reinforcement Materials segment posted record results in the third quarter and is on its way to another year of record EBIT results despite weak replacement tire demand throughout the fiscal year from a prolonged destocking cycle. In Performance Chemicals, we expect results to improve sequentially driven by volume growth in battery materials and inkjet. While the larger product lines in this segment seem to have stabilized, albeit at a level well below recent history. Given these factors, we expect adjusted earnings per share in the fourth quarter to be in the range of $1.40 to $1.55, which would bring our full year range between $5.13 to $5.28. As Erica discussed, we expect the fourth quarter to be another strong cash flow quarter to support our capital allocation priorities. Fiscal year 2023 certainly has developed differently than expected. The rapid increase in interest rates has dampened demand across the housing sector and for consumer durable goods. Europe has been in a technical recession and China's economy has not been the driver of global growth as was expected following their exit from strict COVID protocols. Despite these headwinds, we believe our creating for tomorrow strategy is the right one for Cabot, with a focus on advantage growth, innovation, and continuous improvement. By pursuing this strategy, we believe we will grow, transform, and reshape the valuation potential of the company. We continue to execute against this strategy despite a challenging environment. We have a very resilient structurally different business in Reinforcement Materials as evidenced by record results despite lower year-over-year volumes. The Performance Chemicals segment remains a mix of high growth, high margin businesses with leading market positions and good industry structure that at the moment is dealing with a unique environment of weak end market demand and a China economy that is yet to rebound post COVID. We believe that these product lines will recover in line with the underlying end markets. The battery materials product line while developing slower than we originally expected, remains a compelling growth opportunity for Cabot, and we believe we are well positioned to grow as the EV market expands outside of China. Our cash flow and balance sheet remained very strong in support our balance capital allocation priorities. And finally, we're a recognized leader in sustainability and this strength underpins our purpose and our creating for tomorrow's strategy. I would like to close by again, recognizing the entire global Cabot team for their resilience and their commitment to execution as we navigate this challenging macroeconomic period. Thank you very much for joining us today, and I'll now turn the call back over for our Q&A session.
Operator: Thank you. [Operator Instructions] One moment please for our first question. Our first question will come from David Begleiter of Deutsche Bank. Your line is open.
David Begleiter: Thank you. Good morning. Sean in replacement tires how long your prior destock cycles lasted for?
Sean Keohane: Yes, good morning, David. I think certainly the destock that we seem to be experiencing right now is longer than I think history would say. We're now three, all three of our fiscal quarters have volumes down year-over-year, and our expectation on the Q4 are consistent with the outlook that Erica provided would say that that will probably be four quarters where we're down year-over-year. So it certainly feels like a more pronounced destock cycle than history. And I think the result if I, you know, we listen to what the big tire makers say, I think we should be coming to an end on this. But I think it has been more difficult, I think for people to see this because we came out of COVID, a sharp bounce, then there was a long period of transportation logistics, disruptions and given how many of the tires in the world rely on Chinese exports, I think there were a lot of tires on ships and in the supply chain that were were tied up and it really created a lot of distortion. So I think all of that has been getting worked off here this year. But certainly from our historical experience, David, this one is a bit longer, but I think it's because of those distortions coming out of COVID and the supply chain disruptions that have now worked their way out. And again, as we look across our customer base it seems that that should be coming to an end here. And as that happens then, we would expect a positive turn from a volume standpoint and given the operating leverage in the business that can be quite material.
David Begleiter: Very good. And just on your annual contract negotiations, how are they progressing? I know you had some a number of annual or two-year contracts. So overall how they're progressing, how should we think about pricing for next year in that business?
Sean Keohane: Yes, it's early to say at this point David, but I would say the annual contract cycle is beginning now and will follow I would say a more normal cadence, which is really a fall September through end of year cadence. Last year, there was -- that was pulled forward a little bit. I would say this year's cycle will probably resemble a more traditional pace. So again, discussions in the fall is likely that what will happen. We continue to believe that price increases are needed based on increased sustainability costs as well as the premium and quality and service that we provide to customers. And so while I can't comment because it's too early in the process, just as a reminder, we did close several multi-year agreements last year with an incremental price increase in 2024. And our view is that those price increases are the baseline for the rest of our 2024 contracts and should set the level of price increases expected during the negotiations. So we'll certainly be updating on our next call as we're deeper into the cycle and that would be typical.
David Begleiter: Thank you.
Operator: Thank you. One moment please for our next question. Our next question we'll come from John Roberts of Credit Suisse. Your line is open.
John Roberts: Thank you. How much has the energy co-product credit declined for earnings with the lower oil prices that we've had until the recent bounce?
Sean Keohane: John, I think certainly last year energy prices were higher and those have those have moderated. And so, I think in the full year numbers this year, we're running about 5 million per quarter lower in energy center benefits, so 2023 versus 2022, so something in the order of $20 million on a full year basis, 2023 versus 2022 down.
John Roberts: And then are all carbon black producers reducing production similarly or are you seeing any significant share shifts from some of the suppliers continuing to run full out?
Sean Keohane: No, we're seeing, I think real stability there. I think our volume declines are consistent with what on average the major tire producers are experiencing themselves. So we're not seeing any share shift here and that would not be expected as you know, agreements annual agreements or multi-year agreements have certain volume targets attached to them. So you typically don't see movements inside of the contract periods. I think also, if you look at this business, you have a business with relatively I would say stable but modest growth rates. And so it's very important in terms of the key levers of success in running the business. You want stability of volumes grow at the market rate, manage the pricing and product mix in a stable way and then continue to drive technology and operational efficiency in the plant. So high OEE [ph]. So we keep our assets and our uptime high and then also drive the energy recovery that you touched on. Those are really the drivers of success here and not really share grab. That's not how we think about the business.
John Roberts: Great, thank you.
Operator: Thank you. One moment please for our next question. The next question will come from Josh Spector of UBS. Your line is open.
Joshua Spector: Yes, hi. I just had a couple of questions on the battery business. So I think, Sean, if we look back a couple of quarters, you originally thought that business could do north of $40 million in EBITDA, I believe this year. Now you're talking low 20s, if I heard you correctly. Can you go through that and maybe parse out how much of that is volumes versus some of the pricing pressure here? And I'll stop there and then I'll have a follow up there as well. Thanks.
Sean Keohane: Sure. Good morning, Josh. So certainly you're right. At the beginning of the fiscal year we had been seeing at that time really consistent sequential quarterly growth in the market and our expectation was that this trend would continue for the year. And that core assumption in combination with an expected ramp of volumes at new customers, particularly outside of China is what informed our expectation for the year. And then as the year progressed in Q2, we saw a significant sequential decline in EV sales in China. The market was down pretty sharply. We commented on that, which disrupted this trend of sequential growth that we had been seeing and that was driven by, by several factors. Certainly the COVID related disruptions that were occurring at that time had a distorting effect on things as well as the fact that there was a very significant decline in key raw material prices, particularly lithium in that March quarter. And so it really drove our behavior of destocking. And then finally, the Chinese government had incentives for EVs in place, and those expired at the end of December so that that impacted buying behavior. And so this impact in China from all of these things definitely caused us to lower our outlook in Q2. Now since that time, we have seen a pickup in volumes in China starting in April and this continued through our Q3, as we commented on. However, while volumes began the sequential recovery, we have seen price pressure in the EV auto EM market has really intensified. I think this was very visible as Tesla reduced prices there and it set off a bit of a price war for auto EV in China as they were competing for market share. And this has created pricing pressure in the battery flowing back up to both batteries and the materials chain as we move into our fourth quarter. So I think this factor, combined with continued delay in the ramp of some of our Western customers is impacting our view on the forecast and informs the outlook that we shared. So I'd say while the current environment in China is challenging, it is concentrated in the lower-end domestic Chinese vehicle market. The market for the U.S. and Europe remains stable from a pricing standpoint and Chinese batteries that are sold for export to Western auto OEMs that also remains remain stable. So it's really thinking through the segmentation of the market here. This is a real priority for us focusing our market segmentation on higher-performing batteries and then balancing share and pricing. And on the more base end of our product line, really focusing on cost reduction. And then over time, what we see, Josh, is that the market is clearly bifurcating into a China market and a rest of world market. And we expect the rest of world market to behave pretty consistent with the auto market norms, where there are very strict qualification requirements and management of change protocols, et cetera. And we also expect this market is going to continue to regionalize. So all of that creates, I think, momentum for growth outside of China and for more predictable and durable profit pools. And then we expect inside of China that the market, too, is bifurcating there with lower-end vehicles sort of on one end, where the Chinese government is promoting EVs aggressively and the lower end of the market. There are offerings in the $10,000 to $15,000 per vehicle range, which is very, very, very cheap. And then you've got, on the higher end side, more traditional vehicles that are a bit more premium. And I think in this market, our view is that the lower end will use more base conductive additives and pricing and margins here will probably cycle with demand, and this will be probably pretty consistent with what we've experienced in China over the years across our other markets. And then we expect the high end of the market will require higher-performing conductive additives which should command higher pricing and margins. So I think it's going to be critical that we manage these segments in a differentiated way, and that will be really important for us as we manage through this unexpected turbulence in China. In the long term, we see the growth fundamentals here remaining intact, and we see the growth expected outside of China, in U.S. and Europe over the next 10 years, it's expected by most forecasters to represent about 50% of the market. And so I think the requirements and therefore, the profit pools outside of China will remain very attractive and more durable. And inside of China, it will be about how we segment the market and choose our places to participate that orient more towards higher value. So that's a bit of what's going on in the market and how things have developed over the course of the year, and what evolved differently than what was originally expected and informed our initial outlook.
Joshua Spector: Thanks, Sean. I appreciate that. Just two quick follow-ups, just one, your exposure to China today in this business versus where you aim to be a couple of years from now. Can you give us some numbers there? And then second, just has anything changed on the supply side and carbon nano tubes, is that an area you're seeing more pressure or is it relatively broad across your portfolio?
Sean Keohane: Yes. So first, I'll take them in the order, Josh. So in terms of the China market today, it represents for the whole market, about 70% of batteries are made in China. So the world is definitely skewed to China at this point and our geographic makeup is similarly skewed probably even a bit higher than that in terms of our portfolio. What we would expect as we look out over the next 10 years is that U.S. and Europe will grow to represent about 50% of the battery market, and we would certainly be targeting at least that level of breakdown across our portfolio. But given our position, our global footprint, our breadth of technology, the orientation of the market outside of China towards NCM because they want longer range, et cetera, those are going to orient towards higher-performing products is our view. And so we would hope to win a disproportionate share. But that's how the market will break out, and we would expect that our percentage of our business would, at a minimum, evolve accordingly. Now on the second question on the supply side, the market inside of China is certainly very dynamic. And we have seen new entrants that have been developing here over the recent period and customers, certainly, given the pricing pressure in China right now at the EV level, you're seeing that push all the way upstream and customers are getting more aggressive about pricing and about trying to develop additional alternatives. And so again, our focus is on segmentation because on the higher end of the market, we see prices more stable because the performance is higher. And certainly, on batteries that are exported to global auto OEMs, same thing. So I think it's, again, in China going to be about how we segment the market towards the higher-value product lines. That will be our key area of focus.
Joshua Spector: All right. Thanks, Sean.
Operator: Thank you. [Operator Instructions] The next question will come from Jeff Zekauskas of JP Morgan. Your line is open. 
Jeffrey Zekauskas: Thanks very much. I know that it's early to talk about carbon black price negotiations in Europe and the United States for 2024. But is the general posture that the Carbon Black companies think that prices should be up and the customers think that prices should be down?
Sean Keohane: Hi Jeff, I think that's perhaps a reasonable summary. If you look at our business, we have a percentage of our business that has multiyear agreements with the second year with price increases. I know some of our competitors that have commented publicly have the same. And so I think that the view is that those price increases are kind of the baseline for the rest of our 2024 contracts and should really set the level of price increases, I would say, number one. Number two, the environmental costs continue to rise in this business and those costs have to be recovered. And so I think the fundamentals there have not really changed. So as we head into the negotiations here, I would say on the supplier side, the supply side capacity is picture remains as structurally as we have commented on in the past, so no change there. We are going to see restrictions or sanctions go in place around Russian products into Europe in 2024. So I think the supply picture remains very important for customers, and I think that getting supply reliability is going to be pretty critical for them.
Jeffrey Zekauskas: Okay? And in China -- in the traditional China Carbon Black tire markets, can you talk about the price raw material spreads whether they're narrowing or expanding? And can you talk about the effect of Russian imports of Carbon Black into China if there are impacts.
Sean Keohane: Yes. So in terms of our margin profile in China, Jeff, it's pretty stable right now. So as raws move around that market because it's more of a spot market tends to adjust very quickly. And so I think the price raws recovery is basically matched and the unit margins are holding pretty steady, though at a lower level than where they were a couple of years ago, but they're holding steady. . In terms of Russian product into China, maybe I'll just sort of pull the lens back a bit. So the Russian exports right now are down about 50%, from into Europe, from where they were pre Ukraine invasion. And again, there are sanctions on the books that will go into effect at the end of June 2024. So that number based on those sanctions, then arguably has to go to 0. Now what's happening with the product and where is it going? We're seeing some of the product go into markets like Turkey, which is a pretty good-sized tire production base with no carbon black production in country, so some of its flowing there. Some of its flowing to the Middle East, some of it is flowing into China. We're not seeing that flow have any material impact on the competitive dynamics in China because the market is just so big. So a few hundred thousand tons flowing into a market that is, I think somewhere in the order of probably 7 million or 8 million tons is not really changing the dynamic there. I think in China, the market has its competitive intensity and the Russian stuff isn't really changing that. But that's a quick overview of kind of what's happening with Russian exports and where we see them showing up. And the expectation is that the exports into Europe, given the sanctions go to zero by that date of June – end of June.
Jeffrey Zekauskas: Okay. Thank you for that. And then lastly, can you talk about your Specialty Black volumes, both in the second quarter and year-to-date? That is what kind of growth or contraction you're experiencing? And how's the profitability of that business?
Sean Keohane: Yes. So certainly, across Performance Chemicals, we have seen weak volumes, and it's really driven by weakness in the end markets and in specialty carbons, that is definitely the case where it's been more pronounced in Performance Chemicals is in our few metal oxides business, but certainly, specialty carbons has seen weaker volumes. But I would say the carbons volumes are pretty similar to what we summarized for the overall segment down around 9% in the quarter. Now while that's sort of headline volume, you also have a mix factor here where some of the higher-end mix that pull through much stronger margins has been weak. While the auto sector is beginning to recover in terms of production, we typically see a lag in that given the length of these value chains that we sell into. So we've not yet seen that translate into our business. And as a result, we're not getting that mix uplift that we would normally get. Again, as the lag works its way out from the auto build should flow through. But certainly, there's a mix impact on the business today. In terms of profitability, it is down in the business, very similar to the overall declines in the segment, I would say. That's roughly how it's playing out.
Jeffrey Zekauskas: Okay, good. Thank you very much.
Sean Keohane: Sure.
Operator: Thank you. [Operator Instructions] The next question will come from Chris Kapsch of Loop Capital. Your line is open.
Chris Kapsch: Hey good morning. A lot of my questions have been asked, but I do have a couple. One, I wanted to peel back a little bit on the battery materials discussion, and thanks for a lot of the characterization and details on that. But -- so I get the bifurcation, China versus Western OE producers, particularly I guess, low price, low value cars and LFP battery in China, NMC for the longer range in Western markets. But it's not intuitive to me that the role of the conductive carbon in these batteries is all that different. My understanding is, regardless of the battery chemistry, there inputs to just facilitate the flow of electrons from cathode and vice versa. So I'm wondering what is it about the China LFP battery construction that's led to this increase in competitive intensity? Is it simply the mentality of these producers that they – you kind of alluded to this, but it sounds like they're not adhering to strict and keeping a high bar with the qualifications. And I'm curious if that's just how pronounced that dynamic is in the overall battery value chain, is it more focused on carbon nano tubes? Or is it also applicable to the conductive carbons that are made in your traditional reactor footprint?
Sean Keohane: Yes. So Chris, a couple of things here. So at a high level, what you have in China is a market that a battery market that is more oriented towards LFP rather than NMC. And so -- and outside of China, you have the orientation towards NMC because range matters more. And so inside of China, it tends to be more LFP. And while it is true that they both require conductive carbon additives and the volume loading is not materially different across those two, you can have a very different level of performance.  So some of the low-end batteries in China, LFP might have ranges in the hundred miles, where these are going into EVs that are sold into consumers that are probably in more like Tier 3, Tier 4 cities in China, and so it is a lower performing battery. And so a couple of things, I think, happen there. The pricing intensity given that the cars are selling for such a low price is definitely higher. And given the performance requirements, they'll put more pressure on the inputs. And our view, what we see is they're more aggressive or less disciplined around sort of qualification standards because they're being sold as local domestic vehicles at a very low price. These are not products that are being exported, either the batteries or the cars. So I think that's a bifurcation that you're seeing, how the market plays out at the low price end of the EV spectrum, you're going to see LFP technology, and you're going to see the low end of LFP technology, can stretch in terms of its range, but at the low end for these low-priced cars, you're seeing much lower performing LFP batteries. So that's the dynamic there. In the sort of mid-to-higher end, you still see an orientation in China towards LFP. It makes up, I think, somewhere maybe close to 70% of the market, is LFP in China today, but you have higher performing end of the market there where you get more range. And therefore, the requirement for higher conductive additives – better-performing conductive additives higher purity and a more discerning customer base in terms of their willingness to switch and take quality risks and things like that. So some of it is behavioral or the mentality as you put it, but we see the market kind of bifurcating between that low end and then domestic, the medium and higher end domestic and then on the export side, where Chinese producers are exporting batteries to global auto OEMs, we're seeing real stability there. And we're seeing that obviously, the management of change requirements for Western auto or Global auto OEMs are pretty strict. And we know that from our other participation in the auto sector. But that's pretty strict. That's why we see the West developing differently than in China.
Chris Kapsch: Got it. I appreciate that. Just as a follow-up and I appreciate your comments about the market segmentation approach and a little bit of a pivot on the strategy, addressing this growth opportunity. But does the evolution of this market dynamic, does it influence your intent with respect to capital allocation to grow capacity as this market grows? In other words, are you going to focus only on installing the capability to supply the western markets and walk from the large and growing domestic market in China or how are you approaching that? Thanks.
Sean Keohane: Yes. So I wouldn't say any fundamental shift but a bit of an adjustment I would say, in terms of our approach. So it will be guided first by our choices around segmentation. And so certainly in the West, in the U.S. and Europe, we continue with our intentions to build capacity there to support customers. But that will be timed with how the customers projects are advancing. I would say, in general, while there are a lot of battery gigafactories under construction right now, most of them are targeted to come on in the sort of 2025 through 2028 period. And so we'll be looking to synchronize our capacity adds with that. But I would say no change in the aiming point here because we believe those are going to be valuable and durable profit pools. With respect to inside of China, again, segmentation will be critical here. And what we'll be doing is managing our capacity adds to match that. As you know, last year, we brought on a significant tranche of specialty carbons capacity in China and with that market slower to recover, that is making more capacity to make high-value battery grades in China off our existing network. It's creating more, more capacity to do that. So we can, I think, adequately serve that without significant increases in our near-term capacity. So we're going to be managing that very carefully in China tied to our segmentation approach. And then outside of China, it's really no change in the aiming point. We're just going to make sure we synchronize that. I wouldn't call that a change, but we're going to make sure we synchronize that with customers' timing.
Chris Kapsch: That's helpful. If I could just sneak in one last one about the fumed metal oxide business. Under what scenarios would you be able to underwrite a recovery – a more pronounced recovery in that business? Is it dependent on the semiconductor end market recovery? Is it going to be piggybacking off of China stimulus and recovery there? Or is there something that Cabot can do specifically to drive a recovery there? Thank you. 
Sean Keohane: Yes. So certainly, the semiconductor – I mean the silicone space, which really drives the largest part of the fumed silica business has been very weak. And if you look at end markets for silicones, Building and construction is the largest one, and that has been quite weak globally. So I think we would need to see a turn in building and construction in order to provide more stable volumes in that business because in this business, volumes are off greater than 20% year-over-year, and it is the highest margin business in the Performance Chemicals portfolio. So it is impacting us with those weaker volumes. But I would say housing recovery and building and construction is one. Silicones also go into the automotive sector, and so as the auto builds improve, again, with a little bit of a lag, we should see some improvement there. And then the semiconductors, as you said, electronics, in general, that's another important area and that certainly looks like it's beginning to pick up a bit more now, which is good, but we need to see those end markets really improve Chris, to provide a more normalized volume picture. In terms of the things that we can do in terms of self-help, of course, we continue to do in terms of how we segment the market and the products we're selling, the mix and how we manage our costs, all of that is stuff that we can do, but we need to see the end markets improve a bit here. And there are some mixed signals in the U.S., we're seeing maybe some early signs of housing and construction beginning to turn. I wouldn't say that's the case yet in Europe or China, but we'll have to see how that evolves here in the coming couple of quarters.
Chris Kapsch: Thank you.
Operator: Thank you. [Operator Instructions] Our next question will come from the line of Laurence Alexander of Jefferies. Your line is open.
Laurence Alexander: Good morning. So I guess, first of all, do you have any end markets by region where customers are clearly telling you inventories are too low? And secondly, can you give an update on how the conductive carbons platform is evolving? So should your operating leverage to an improvement in EV sales be different in 2025 than it was in 2023? Can you just give a sense for what the kind of underlying technology development is looking like?
Sean Keohane: Sure. Thanks, Laurence. So in terms of end markets and inventory positioning, it certainly seems like we're at the end or near the end of destocking. I mean, as we talk to our customers, we're not seeing inventory levels at normal safety stock. They're below that is what customers are telling us and they're basically ordering to meet their current demand, not building stock in anticipation of growth. And we do see that translate into order pattern behavior where we might find customers order a couple of times a month instead of once a month.  So they're truly reacting to their current demand, and I think have a very cautious posture on inventory. Where it can get more murky I think, is downstream of them, how good is their visibility, especially in some of these longer value chains. But I would say the general sense is that inventory levels are low and below normalized levels of safety stock, but people were being cautious and looking for a turning point with rates having ratcheted consistently throughout 2023 and question marks around the macroeconomic environment. Customers have just been really, really cautious. And I would say that's how I would characterize the things. So as a turning point happens, then I think our expectation is that customers would have to rebuild inventories to a more normal level to support demand, but we've not seen that yet. But that's a bit of characterization on the inventory side. And my sense in hearing how other players in the chemical chain are seeing things, I think that's pretty consistent. In terms of the conductive carbons technology evolution here, we have a range of conductive carbon additive technologies in our portfolio. The widest breadth of products compared to any competitor from both conductive carbon furnace black types to carbon nanotubes to carbon nano structures. Now over time, what we see as the battery market evolves here is that as the proportion of NMC batteries increases, then the need for higher-performing carbons and blends of things like conductive carbon black and CNTs will become more important, so no real change there. And we continue to develop both of those product lines because we think they'll offer differentiated performance, especially in these higher-end batteries. I mean, certainly, as volumes continue to grow in this market, there will be some operating leverage of benefits. We've been investing ahead on growth, both in terms of capacity as well as SG&A in this business. And as those growth investments are absorbed or the costs are absorbed with volumes, there will be some operating leverage that will certainly come.
Laurence Alexander: Thank you.
Operator: Thank you. And I see no further questions in the queue. I would now like to turn the conference back to Sean Keohane for closing remarks.
Sean Keohane: Great. Well, thank you very much, Chris, and thank you all for joining the call today. I would appreciate your continued support of Cabot and look forward to speaking with you next quarter. Thank you very much.
Operator: This concludes today's conference call. Thank you all for participating. You may now disconnect, and have a pleasant day.